Operator: Good afternoon, and welcome to the Third Quarter Fiscal 2013 Gordmans Stores, Inc., Earnings Conference Call. My name is Holly, and I will be your operator for today's call. [Operator Instructions] Please note this conference is being recorded. Before we begin, I would like to remind everyone that the information contained in this conference call, which is not historical fact, may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results might differ materially for those projected in such statements due to a number of risks and uncertainties, all of which are described in the company's filings with the SEC and our earnings release. I would now like to turn the conference over to Jeff Gordman, Gordmans' President and CEO.
Jeffrey J. Gordman: Good afternoon, and thank you for joining us to discuss our operating results for the third quarter and first 9 months of fiscal 2013. With me is Mike James, our Chief Financial Officer, and Mike Morand, our Chief Merchandising Officer. I will start with the -- the call with the presentation of operating results from the third quarter and first 9 months of the fiscal year. I will then provide a status update on our store expansion plans. Next, Mike will present our financial results for the third quarter and first 9 months of the fiscal year in more detail as well as discuss our guidance for the fourth quarter. Finally, I will provide some perspective on our earnings guidance as well as briefly touch on performance for November. We will conclude the call by answering any questions you may have related to the topics covered in today's call. With respect to our financial highlights, sales increased by 5.8% in the third quarter, which was attributable to the 10 new stores opened this year, inclusive of 3 openings in the third quarter. While total sales were in line with our previous guidance, our comparable store sales performance for the quarter fell a little short of guidance, declining by 6.1% on a fiscal basis and 4.5% on a comparable calendar basis. Our apparel and home businesses incurred mid-single-digit comparable store sales decreases in the quarter, while our accessories business incurred a high single-digit comparable store sales decrease. On a comparable calendar basis, our apparel business incurred a low single-digit comparable store sales decrease. We did finish the quarter on a relatively strong note, posting comparable store sales that were even with last year, an improvement which we believe is primarily attributable to the merchandising marketing and loyalty strategies on which we've been working throughout the year. Earnings per share of $0.06 for the third quarter fell short of our earnings guidance of $0.12 to $0.14, which is primarily attributable to our comparable store sales decrease as well as a 60-basis-point deterioration in gross profit margin. Year-to-date, EPS of $0.27 compared to our guidance of $0.34 to $0.36. With respect to our expansion strategy, we opened 3 stores in the quarter and 10 for the year and now operate 93 stores totaling approximately 5 million square feet in 54 markets throughout the country. Sales generated by the stores we opened this year in aggregate are performing at 94% of our new store model, and we anticipate that sales performance for this group will improve concomitant with the improvement in our overall comparable store sales. Our store expansion plans for next year contemplate 9 store openings evenly distributed over the first 3 quarters; and we have executed leases for 8 stores, including our first stores in Michigan, Ohio and Texas. Two of these openings will be in existing markets, while the remainder will be in new markets. Developers continue to provide the vast majority of the capital associated with our new store projects, contributing 95% of the total capital cost for 2014 stores. Yet we are still able to negotiate rental rates that are at or below market. We continue to be able to negotiate such advantageous lease terms due to our long-term partnerships with developers throughout the country as well as our ability to serve as a fashion-oriented apparel and home decor-based anchor that can attract complementary cotenancy. We are also on track to bring our second distribution center, a 545,000-square-foot facility located in Indianapolis that can serve up to 100 stores online, at the end of the second quarter of next year. Mike will now present our financial results for the third quarter and first 9 months of fiscal 2013 in more detail as well as our guidance for the fourth quarter and fiscal year.
Michael D. James: Thanks, Jeff, and good afternoon. Net sales for the third quarter of fiscal 2013 increased $8.3 million or 5.8% to $151 million as compared to $143 million in the same period last year. This increase was due to the 10 new stores opened in the first 9 months of fiscal 2013, offset by a transaction-driven comparable store sales decrease of 6.1%. Note that on a comparable calendar basis, comparable store sales decreased 4.5%. For the first 9 months of the year, net sales increased $14.3 million or 3.5% to $420 million versus $405 million last year. The sales increase year-to-date was also due to sales from new stores opened in the past 2 years, as comparable store sales decreased 6.5% due primarily to a decrease in the number of comparable transactions. Gross profit, which includes license fees, increased 4.3% to $67 million and license fees from leased departments increased 12.5% to $2.2 million for the third quarter. Gross profit margin was 44.3% compared to 44.9% last year, a 60-basis-point decrease primarily driven by incremental markdowns to more aggressively position our inventories going into holiday. For the first 9 months of the year, gross profit decreased 0.6% to $185 million, while license fees increased 6.8% to $5.8 million. Gross profit margin was 44.2% compared to 46% last year, a 180-basis-point decrease, primarily driven by higher markdowns. SG&A expenses for the quarter were $64.6 million or 42.7% of sales versus $57.8 million or 40.4% of sales in the prior year, a 230-basis-point increase primarily due to a 120-basis-point increase in store expenses related to higher payroll, occupancy, maintenance costs and consulting fees, partially offset by lower benefit and utility costs; a 50-basis-point increase in corporate expenses related to higher IT professional services expenses, higher recruiting and relocation costs and higher payroll. In addition, depreciation expense increased by 40 basis points due to increased property additions associated with new store openings and investments in our information technology systems, and preopening expense increased by 20 basis points as we opened 3 new stores in the third quarter of fiscal 2013 compared to 2 store openings in the third quarter of fiscal 2012. SG&A expenses for the 9 -- for the first 9 months of the year were $175.8 million or 41.9% of sales versus $161.1 million or 39.8% of sales last year, a 210-basis-point increase, which was comprised of a 120-basis-point increase in store-level expenses, a 30-basis-point increase in corporate expenses and a 10-basis-point increase in advertising expenses. In addition, depreciation expense increased 50 basis points. Interest expense for the quarter was $0.9 million as compared to $0.1 million for the same period last year and $1.1 million for the first 9 months of fiscal 2013 as compared to $0.4 million for the first 9 months of fiscal 2012. The increase in interest expense was primarily driven by interest on the $45 million senior term loan that we entered into in August of this year to partially fund the special cash dividend paid a month later. Our combined federal and state tax rate for the third quarter this year was 30.7% compared to 37.5% in the prior year's quarter as the catch-up adjustment was made in the third quarter to arrive at our expected fiscal 2013 effective tax rate of 36.3%. Net income for the third quarter of $1.1 million compares to our guidance of $2.7 million and $4 million last year. However, excluding interest expense on the term loan, net income was $1.6 million. Net income for the first 9 months of 2013 of $5.3 million compares to our guidance of $6.9 million and $15.6 million for the same period last year. Excluding interest expense associated with the term loan, net income was $5.8 million. Diluted earnings per share of $0.06 for the third quarter based on 19.4 million weighted-average diluted shares outstanding, fell short of our guidance of $0.12 to $0.14. Diluted earnings per share of $0.27 for the first 9 months of the year based on 19.3 million weighted-average diluted shares outstanding compared to our guidance of $0.34 to $0.36 per share. Diluted earnings per share were $0.08 and $0.30 for the third quarter and first 9 months, respectively, excluding interest on the term loan. I would now like to turn to our balance sheet. Cash and cash equivalents at the end of the quarter decreased by 71% to $9.3 million compared to $32.2 million a year ago due to the special cash dividend of almost $70 million, which was financed with the combination of cash and a term loan. In addition, we had borrowings outstanding of $15.7 million on our $80 million revolving line of credit at the end of the third quarter, which we fully expect to pay off in the fourth quarter. Inventory, which includes in-transit inventory, was $149.3 million at the end of the quarter, up 13.8% compared to $131.2 million at the end of the third quarter last year but represented a 1.6% increase on an average store basis. Retail inventory and stores at the end of the quarter was down 0.3% on an average store basis compared to the prior year. Our working capital was $46.9 million, 33% lower than at the end of the third quarter last year. With respect to forward-looking guidance for the fourth quarter of fiscal 2013, which represents a 13-week quarter compared to a 14-week quarter in the prior year, we're projecting fourth quarter fiscal 2013 net sales to be between $204 million and $206 million, which reflect a mid-single-digit comparable store sales decrease versus the 5.1% comparable store sales decrease incurred during the fourth quarter of fiscal 2012 for the first 13 weeks ended January 26, 2012. We also expect that the pressure on gross margin -- gross profit margins will continue in the fourth quarter, and additional selling, general and administrative expenses related to depreciation, in particular, will result in some deleveraging. Therefore we project diluted earnings per share for the quarter to be between $0.11 and $0.14, which also includes the impact of interest expense associated with the term loan of approximately $0.04 per share compared to $0.41 per share in the fourth quarter of fiscal 2012 or $0.37 per share adjusted to exclude the 14th week. For the 52-week fiscal year ending February 1, 2014, we expect net sales to be between $623 million and $625 million, which reflect a mid-single-digit comparable store sales decrease compared to the 52 weeks ended January 26, 2013, and diluted earnings per share to be in the range of $0.38 to $0.41, including the impact of interest expense associated with the term loan of $0.06 per share compared to $1.21 per share last year or $1.17 adjusted to exclude the 53rd week. I would now like to turn the call back over to Jeff.
Jeffrey J. Gordman: Thanks, Mike. Comparable store sales results for fiscal November were consistent with that of October despite a challenging Black Friday that we attribute to the substantial increase in the number of retailers open on Thanksgiving Day. For the month of fiscal December, which represents more than half of the sales volume for the fourth quarter but has 6 fewer selling days prior to Christmas and last year, we have several tactical and strategic initiatives in place that we believe will positively impact our Holiday business as well as our transition into the spring selling season. First, we have increased our print advertising and intensified our value messaging within this marketing vehicle in particular. We have also developed an updated television branding campaign that better conveys the holistic nature of our selling proposition, utilizing the message: Big Savings, Big Selection, That's Our Style. Second, we are experiencing continued success with our loyalty program, gRewards, which we believe will have a palpable impact on our overall average transaction size and frequency as the program matures. We now have over 1.5 million guests participating in gRewards, and the average loyalty transaction equates to a double-digit percentage increase over the average nonroyalty transaction. We have also completed the implementation of our technology platform, which includes the electronic delivery and redemption of reward certificates. In addition, our gRewards certificates and loyalty card itself are integrated with Apple Passbook. We are also leveraging our loyalty database from a CRM perspective, sending mass customization emails tailored to the shopping preferences of our loyalty guests. Third, we are executing several merchandising sales growth strategies across a number of apparel and home businesses that we believe are significantly underdeveloped or that capitalize on current sales momentum. We have also developed Holiday-gated intensifications for several of these businesses, which are in turn utilized for content, for marketing collateral and for interactive store presentation. Fourth, we have executed a number of initiatives around supply chain optimization to smooth the flow of merchandise receipts from vendor to store, which has in turn improved the efficiency and speed with which we are processing merchandise onto the selling floor. Finally, we have implemented several tactics to improve conversion at store level, including the integration of traffic information into our store label management system, content to facilitate guest interaction, signing and impulse merchandising strategies, and improved analytics to better align the scheduling of store associates with traffic patterns. We would now like to open up the floor for questions.
Operator: [Operator Instructions] Our first question will come from Kayla Berg with Piper Jaffrey.
Kayla Berg: My question for you is, how much does your Q4 guidance contemplate how clean your inventory is as you exit out of Q4 and into Q1?
Michael S. Morand: This is Mike Morand. We're anticipating that our inventories will be in very good shape coming out of fall, with our seasonal inventories below last year in a mid-single-digit to high single-digit basis.
Kayla Berg: And how are you guys feeling about your investments that you've made thus far in your cold-weather apparel inventory? Do you feel like you are heavy invested in that? Or do you feel like you are well positioned heading into Holiday?
Michael S. Morand: Oh I think we're very well positioned heading into Holiday. We took a strategic tact regarding our cold-weather -- outerwear and cold-weather accessories to lower the inventories this year and bring the weakest [ph] supply in line with what we think will be a high single-digit sales increase in the fourth quarter. So we are well positioned from an inventory perspective to continue to generate increases in those categories and in clean at the end of the season.
Operator: Our next question will come from Mark Altschwager with Robert W. Baird.
Mark R. Altschwager: Starting off on the guidance side, I think looking at the comp guidance for the fourth quarter based at the midpoint would imply a slight improvement in trend. So I guess, what are you seeing from the more recent results that give you confidence in that outlook? And specifically, if you could speak to your results for Black Friday, that would be helpful.
Jeffrey J. Gordman: Sure. This is Jeff. First with respect to fourth quarter guidance, it contemplates a comp store performance that really is very much in confidence with comp store sales for the second quarter and the third quarter. So it's very consistent with what we've been delivering the last 2 quarters. Interestingly though, for the month of October and the month of November, as I indicated in my prepared remarks, our comp store sales are even with last year. However due to the uncertainty associated with 6 fewer selling days prior to Christmas, we wanted to be conservative in our guidance from a comp store sales perspective. With respect to Black Friday, as I indicated also in the prepared remarks, it was a challenging Black Friday for Gordmans, which once again, we attribute to the fact that we were not open on Thanksgiving Day. We were closed the entire day. However the industry was not. And from an industry perspective, sales for Black Friday itself, from a brick-and-mortar standpoint, were down 13.2%, while sales for the combined Thursday-Friday timeframe, again these are industry numbers, were up 2.3%. So essentially, sales were diffused over a 2-day period rather than typically being concentrated just on Black Friday itself.
Mark R. Altschwager: And then on the merchandise side, what are the biggest changes you're seeing under new leadership on the merchant team? How are customers responding to those changes? And then I think in your prepared remarks, you talked about some categories that are underdeveloped and some that have momentum. If you could give a little bit more detail on that would be helpful.
Michael S. Morand: Terrific. This is Mike. From the changes that we have -- let me back up just a little bit. The most meaningful changes made to our merchandising strategies this year, if I could recap them in the 4 biggest headlines, is number one, we've continued to inject diversity into our merchandise assortments across all merchandise categories. Secondly, specifically gated to the fall season, we've improved our season inventory management, flowing goods to eliminate bottle -- processing bottlenecks of the DC and stores. And at the same time in managing those inventories, we reduced Q4 inventories in targeted areas to improve clarity and merchandising impact at point of sale. So the second biggest change that we implemented this year, specifically gated to the holiday season, was improving our receipt and inventory management. The third major initiative or change undertaken this year is intensifying our highly identifiable -- highly identifiable national brands. And fourth, again specifically gated to the fourth quarter, is merchandising team intensely partnered with the store's organization to ensure that our merchandising strategies were being executed flawlessly or as close to flawlessly as we can make them, presenting merchandise with authority, prioritizing focal floor locations to feature the biggest Holiday sales categories and emerging trends and finally, leveraging our product signing to point out the -- our value proposition in important brands and key categories. So to recap, the 4 major changes or initiatives: injecting diversity, improving the receipt and inventory management, intensifying national brands and really partnering with the store organization to ensure execution. We believe we are getting a response in many merchandise categories to these initiatives. And speaking at a very high level, product categories that we see having the most positive guest response include highly giftable categories in men's and home, home -- Holiday home decor, toys, kitchen trends. Men's furnishings and men's sportswear being very positively impacted by these changes. So there's -- does that help answer the question?
Mark R. Altschwager: It does. Maybe just as a quick followup there. You talked about just the focus on the national brands. I know several other department stores are really focusing more on reinvigorating sales at the national brand side. How are you viewing that competitive threat? And have you seen that impact in recent results?
Michael S. Morand: No, we haven't. In fact, we're on target to generate -- well, let me back up again. We have identified 60 key brands as part of this intensification effort. Those 60 brands are generating strong sales increases. And if we step back for a second and said -- answer the question about other retailers intensifying or reinvigorating their sales effort regarding national brands, for other retailers, a substantial portion of their assortments is comprised of proprietary brands. At Gordmans, we seek out the brands and labels our guests desire. We're not encumbered by proprietary brands. So actually, from a competitive stance, we think we're in an advantage versus most of our mid-tier and major department store competition regarding brands. So we can seek out and move very -- in a very fast-full [ph] way with our brand structure. So from that perspective, I would not regard it as really a competitive threat.
Jeffrey J. Gordman: Yes, I would agree with that. We continue to be able to add a significant number of name brands or intensified brands that we believe are underdeveloped. We do business today with over 800 vendors that purvey well over 2,000 brands. So that continues to be a lever that we can approach to drive incremental comparable stores sales going forward. In particular, as we're focused on delivering value along a broader price point spectrum, we've added or intensified several elevated brands, particularly focused in the apparel and ready-to-wear areas.
Operator: [Operator Instructions] Next, we'll hear from Evren Kopelman with Wells Fargo.
Evren Dogan Kopelman: I wanted to ask the improvement in comps in October relative to the September and August. Which categories saw some of the pickup, and maybe which categories did not see a pickup?
Jeffrey J. Gordman: We saw the greatest improvement in our apparel and home categories, and we didn't see a significant improvement in our accessories categories.
Evren Dogan Kopelman: And in accessories, wanted to ask a bigger picture question. I mean, I remember a couple of years ago, during the time of the IPO, accessories was a highlight category with strong comps. What do you think has changed to kind of maybe explain some of the weaker performance in accessories? Is it a brand mix or some other broader trend that's happening in that market?
Michael S. Morand: I don't -- there are some broad trends within accessories that have been difficult to overcome, such as the weakness in the jewelry business. However I think the overall weakness in our accessories business is really the result of assortments which became too narrow in their appeal to our guests -- our very broad guest base would be the primary reason. I believe the accessories business has continued, has been tough and continues to be tough. And it's -- again, our major initiatives, such as injecting diversity into our assortments, accessories will benefit from those changes going forward.
Evren Dogan Kopelman: Great. And then you mentioned -- I think you said 60 big brands are generating sales increases. Then you mentioned you carry 2,000 brands. I mean, those 60 brands that you're focusing on that are performing well, is that a significant portion of sales?
Michael S. Morand: Yes. The 6 -- and actually, we have -- the contribution is meaningful and significant. So while we do carry about -- we work with about 800 vendors that we do significant business with or meaningful business with, the 60 that I'm referencing do contribute a very meaningful portion of our store sales.
Jeffrey J. Gordman: And Evren, just to add on to what Mike is saying, 2 different concepts here. One is that we've identified a subset of brands that we believe have significant potential to drive incremental comp store sales. That being said, in aggregate, we're doing that business with about 800 vendors across all categories in apparels, footwear, accessories and home decor that purvey over 2,000 brands. So that's the distinction between the 2 comments.
Evren Dogan Kopelman: Right. Okay, that makes sense. And then going forward, the strategy, is it to continue to increase the number of brands you offer or maybe go more focused and reduced? Share your thoughts there, that would be great.
Michael S. Morand: I think we have a powerful stable of brands currently, but we are constantly looking for meaningful national brands to add to our assortments.
Evren Dogan Kopelman: Okay, and then lastly, a question -- yes?
Jeffrey J. Gordman: And certainly, as we've alluded, too, previously, it's a multidimensional approach with respect to the merchandising strategy. Mike and his team is leading an effort to once again deliver diversity from a good, better, best value proposition along a broader price point spectrum, diversity from a lifestyle perspective. As an example, we believe that there's a real opportunity in men's sportswear to more meaningful business in more of a modern contemporary esthetic vis-à-vis a classic esthetic. And similarly, in intimate apparel, there's an opportunity to do a lot more business targeted towards our misses' Gap vis-à-vis a juniors' Gap. And then fourth, there's -- so we've talked about brands; lifestyles; good, better, best pricing strategies; and the fourth one is basically focused on specific, more granular product categories and businesses that we believe represent opportunities that are underserved in the value segment of the industry. So it's really -- it really has 4 legs to the strategy. Brand name is just one.
Evren Dogan Kopelman: Okay, very helpful. And I've a last one for Mike James on the model. The fourth quarter EPS guidance, when I put EPS and sales together, there's a lot of deleveraging on the margin. Is that -- what's the gross margin? Because I think you said, you're comfortable with the inventory. It actually looked pretty good coming out of the quarter. What kind of gross margin pressure do you expect in the fourth quarter?
Michael D. James: We expect the gross margin deterioration will be -- we're projecting, at this point, somewhere in the neighborhood of where Q3 was. It won't be to the level that we experienced in Q1 and Q2. But we do some deleveraging in the margin area, as well as -- and some in SG&A expenses, which are basically related to the comp decrease we're forecasting.
Evren Dogan Kopelman: Okay, great. And then for depreciation and interest expense, what should we expect in the fourth quarter and maybe for next year, if you could talk about that as well?
Michael D. James: Well I think from a depreciation standpoint, we were deleveraged by 40 basis points in Q3. It will be close to that in Q4. And then I think for 2014, we're going to be in a similar situation where we're in the 450 basis points of deleverage. And a lot of that's because of the -- with the new distribution center that comes online midway through the year, depreciation will start on that when it comes online. From an interest expense perspective, I think Q3 was probably about 2/3 fully loaded based on when we closed on the term loan at the end of August that we have really 2 months of interest expense in the quarter. So Q4 will be about 50 basis points of deleverage related to interest expense.
Jeffrey J. Gordman: Evren, I just want to offset -- add on to that by saying that keep in mind that the guidance is down mid-single-digit comp store sales commensurate with what we experienced in Q3 on a shifted basis, on a comparable basis as well as Q2. So we wanted to make sure that we're taking a very prudent approach with respect to guidance, given the whole dynamic with respect to the shortened selling season before Christmas. But that being said, interestingly, October and November, in aggregate, were -- we performed at a level that was meaningfully better than how we're guiding the fourth quarter. So hopefully that helps.
Operator: And at this time, we have no further questions in the queue. I'll turn the conference back over to management for any additional closing remarks.
Jeffrey J. Gordman: Thanks very much. On behalf of our entire management team, thanks so much for your continued interest in and support of our company. I would also like to take this opportunity to express my deep gratitude for the hard work and passion for a mission of delighting our guests with big savings, big selection and fun from the associates, demonstrated by our over 5,000 associates throughout our company when workload is at its most intense. Please accept my very best wishes for a happy, healthy and safe Holiday season.
Operator: Thank you. And again, ladies and gentlemen, that does conclude our conference for today. We thank you for your participation. You may now disconnect.